Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Vonovia Q3 2024 Results Analyst and Investor Call. I am Mohit, the Chorus Call operator. I would like to remind you that all participants will be in listen-only mode and the conference is being recorded. The presentation will be followed by a question-and-answer session. [Operator Instructions]. The conference must not be recorded for publication or broadcast. At this time it's my pleasure to hand over to Rene. Please go ahead.
Rene Hoffmann: Thank you Mohit, and welcome everybody to our call. Our speakers today are once again CEO, Rolf Buch and CFO, Philip Grosse. They will be happy to lead through today’s presentation and then answer your questions. Today's call will be a bit broader than previous earnings calls. Like we always do in the third quarter, we will give an update on the first nine months and an initial guidance for the next year. But in this presentation, we will also address the question as to how we expect to grow organically in the non-rental segments in the future. That's why today's presentation has two parts. We begin with an update on the first nine months of this year ending with the final guidance for 2024. The second part then covers our different organic growth initiatives, including our initial guidance for 2025 and more importantly, the midterm outlook for our objectives for 2028. Like in our last call, let's please limit questions to 2 per person. And with that, I hand it over to Rolf.
Rolf Buch: So good afternoon from my side as well. I'm excited about today's earnings call. Of course, every earnings call is a welcome opportunity to update the market on where we stand. Still, today's call, especially to me because, after more than 2 years of playing defense, we are working hard to stabilize the balance sheet and of making sure that we get through the challenge at times, we are now turning the corner. We have successfully weathered the storm and managed the headwinds since the rapid change in interest rates has brought to our business, including the most severe value decline on record. To avoid any misunderstanding, the environment now is not what it has been before the crisis. Now interest rates are likely here to stay and the time of effectively free money are not expected to come back anytime soon or if ever. Equally, presenting capital structure will remain our priority. However, the upper battle against continuous value decline is over. Interest rates are no longer rising and the market for assets is gradually returning to a normal environment. This gives us opportunity to leave the period of proactive balance sheet stabilization behind and focus on earnings growth again. Let's not forget, while we were busy keeping our leverage under control, the fundamental mega trends that drive our business has become even more favorable than they were 3 years ago. Demand for our product has been increasing and supply has declining for obvious reasons, leading to the widest imbalance that we can remember. The need of decarbonization, the housing stock is greater than ever before. Just the other day, we learned that only 0.7% of the German housing stock was modernized during the past 9 months of this year. This compares to 2% or more that experts say is required. There is a huge demand for expertise in this area, and we are extremely well positioned to benefit, thanks to our people, know-how experience and our track record. But before I go too deeply into the second chapter of today's presentation, let me give you the highlights of our recent performance. First, we have achieved our €3 billion disposal target that we promised to you for 2024. This allows us now to turn our attention to profitability growth for our sales divisions, including a focus on cash generation. Second, leverage is now well under control. Let me say loud and clear that we remain committed to our debt KPIs target ranges, but we have no doubt that the direction of travel is positive. As a consequence, our proactive balance sheet stabilization is not longer required. Third, our operating performance is firmly on track for our rental segment, and we are seeing the first signs of improvement in our nonrental segments as well. In the end, I keep coming back to the relevant megatrends. It is 3 structural growth drivers that provide long-term earning recurring and growing income and help us drive continuous improvement in our operating performance. First, it is not appropriate to focus on the next phase of our -- now appropriate to focus on our next phase of our growth strategy. There is a strong addressable market opportunity. Our platform is uniquely positioned, and we have identified multiple initiatives to drive our non-rental activities. Rental growth is expected to be around 4% as previously guided, and we forecast adjusted EBITDA totaled slightly growing and adjusted EBITDA essentially flat for 2025, which, again, is a transition year and so far as we absorb the impact of our larger disposal volumes that Philip will come back to this. And finally, in line with our view of stability, returning to our markets and our strong position to take advantages of the utilities within them. For the first time, we are providing you a midterm objective for 2028. Our ambition is to deliver an EBITDA total between €3.2 billion and €3.5 billion. Of that amount, we think we can generate between €0.5 billion and €0.7 billion in our non-rental segments. So between 20% and 25% of total EBITDA. And this is over to Philip.
Philip Grosse: Thanks, Rolf, and welcome also from my side. I want to start on page 4 with an update on our disposal progress. And as you can see, at the end of October, we have signed disposal agreements for a total value of €3 billion. So already reaching the target we have set ourselves for this year. The most notable update since our H1 call are shown on the right-hand side. First, we delivered on the nursing side, €300 million proceeds from Deutsche Wohnen disposal of 27 nursing homes, and that includes also the operating business. And please note that as part of this transaction, Deutsche Wohnen agreed on the vendor loan, for a-third of the disposal amount and the duration of 30 months. Second, our first HIH deal in which we sold 11 development projects for roughly €0.5 billion to a fund co-owned by HIH and Vonovia. We already announced, as you have seen those transaction last month. The third deal is new, and it's very much a copycat, if you will, of the first HIH transaction. So not only similar in volume, but also in terms of deal structure, our equity participation and responsibility for property and asset management, there are a number of things that make the two transactions very attractive for us. It's the global exit structure for €1 billion development products in total. So it's a very nice sales channel. If you look at the fund structure, it enables us to benefit from the disposal proceeds when the assets are sold following a 10-year holding period. And you know about the outlook we have long-term for development of real estate values. Third, we have the situation that Vonovia does the property management for the fund. So for us, it's a very good way to deploy our efficient operating platform to assets away from our balance sheet, and this allows us to generate additional returns outside our core rental business. And net of the equity participation in the funds, the liquidity inflow is a meaningful €600 million. So while we have met our 2024 disposal target, we do not have additional -- we do have -- sorry, we do have additional transactions in the pipeline, and we will see these transactions through to the end. But we are no longer -- that is important prioritizing cash generation over profitability, and we will focus on those assets that we want to sell predominantly those assets, which we consider noncore or as part of our recurring business. Page 5 for the earnings and cash flow summary. Starting as usual with our rental EBITDA, we do see a volume effect as our portfolio is more than 6,000 apartments smaller than it was last year. In addition, last year's level for maintenance expense and operating expense were driven by an extreme focus on cash and this year expense levels were on a more normalized level. So the EBITDA rental as a result is still impacted by the decisions we took in the context of balance sheet stabilization and it will take a bit of time for the consequences to pass. But what is more important, this does not change the fact that the underlying operating fundamentals remain highly favorable with growing rents virtually full occupancy and collection rates. In the value-add segment, we see very good progress, which is also driven by a long-term lease agreement on the coax network and our multimedia business. Recurring sales volumes are up by more than 50%, but margins are still on the low side, in particular, in Germany. We do, however, expect further margin improvement as we move forward, and we see that this business line is increasingly gaining traction. And finally, development to sell. Here, the gross margin was 14%, 1-4, but we had no EBITDA contribution because of the low volume closed and the platform cost essentially eating into the small absolute EBITDA contribution. Going further down the table, the increase in the net financial result is largely driven by the full year effect of our refinancings predominantly in 2023, altogether, adjusted EBT of €1.67 per share before minorities and €1.52 per share after minorities. Operating cash flow here, main moving parts are higher cash taxes. That should be not -- that should not come as a surprise. We see higher numbers because of the larger disposal volume book value of assets sold, more volume, of course, leads to a bigger contribution to the operating free cash flow and development to sell as we have been guiding, this number is expected to show a very material improvement year-on-year. To be sure, it's probably the most volatile number in this table, but I'm happy to confirm that we will see a clear improvement this year moving in positive territory. And just to be complete, cash dividends paid to minorities. We've been discussing that at length in the past are, of course, higher as a result of the two Apollo transactions we have made last year for which the dividend always gets paid in Q2. Bottom line, close to €1.4 billion of operating free cash flow year-on-year, almost 40% higher. On our rental KPIs, that is Page 6. Rent growth, close to 4%. Slight shift, you see, let's say, both market-driven rent growth which is compensating for the smaller contribution from the investment-driven rent growth fluctuation still a bit higher than previous periods. Again, we do not think that this is a general trend. Unfortunately, I have to say that this is still within the general range we have been seeing for this number. Vacancy remains low and steady as we continuously saying this is, in essence, structural vacancy dominated by the turnaround time and the associated investments we make in context of tenant churn. Similar collection rate remains at extremely high levels, no surprise either. And finally, maintenance, it's a bit higher than last year when we had a stronger cash focus that resulted in lower spending levels. On our debt KPIs, that is on Page 7. Our pro forma cash position is €4.6 billion, including €2.5 billion cash and equivalents and another €2.1 billion from disposals signed, but not yet closed, took quite comfortable in light of the upcoming maturities that you see on the top right-hand side and most of the disposals we have signed will see closing over the next six months. And of course, we have on top of our €3 billion RCF, which is undrawn. As Rolf said, we now have the leverage situation that allows us to return our focus back to growth. Let me elaborate a bit what that means for our debt KPIs and how we do see them evolving from here on. Yes, thanks to our efforts over the last two and a half years. We have managed to keep leverage at acceptable levels. Without disposals, our LTV would have been north of 51%, and net debt to EBITDA would be close to 17 t imes. And while we are not quite in the target ranges on LTV and net debt to EBITDA just yet and only marginally for the ICR, the difference now versus what we have seen six, 12, 18 months ago is that the direction of travel is clear, and we expect the positive trend for LTV and net debt to EBITDA and stabilization for the ICR. And for -- as long as we are working against value declines, there was a need to free up capital and stabilize the balance sheet that worked, but it came at a cost in form of drag on profitability and earnings, as you can see it in our numbers. But now that values have reached the trough, the pressure on LTV disappears and through rent growth and organic NAV uplift, this number will actually move into the right direction on its own. And then cash generation for the purpose of balance sheet stabilization takes a backseat and the focus returns to profitability, to debt KPIs also stabilize and move in the direction, driven by the EBITDA growth. So, we focus on the EBITDA and not on the reduction on debt and interest expense. So, we are close to or already within the respective target ranges. That was always our objective, and it continues to be our objective on the debt side to be very clear here. I'm fully aware that different market participants have different views on leverage. Our view is primarily driven and I'm repeating that by the views the rating agencies are taking, the size of our balance sheet, we need unfettered access to debt markets at any point in time in the BBB+ or equivalent rating that we have from our 4 rating agencies comfortably safeguard this success. The debt KPI target ranges in turn, reflect the requirement of what the rating agency expects from us to maintain this rating. This is our rationale for why we target the leverage ranges that we target. Make no mistake, our business model is now built on the assumption of stable market yields, and we will not stretch our balance sheet and expectation of yield compression. But we do not see the need to continue to take action solely directed at further balance sheet stabilization, but it is clear to us that all our debt KPIs are moving in the right direction. So do expect us to continue to target the well-established ranges and do expect us to finance our investments and also potential acquisitions down the road in a way that is mindful of these ranges. Page 8. On guidance, I think all has been said in a nutshell, nothing changed compared to the guidance we gave in Q2. We still expect to come out at the upper-end of the ranges for organic rent growth, adjusted EBITDA total and adjusted EBT. And Rolf with that, back to you.
Rolf Buch: Thank you, Philip. And now we are coming to the second part of the presentation. I now want to talk about our organic growth initiatives and especially, how we see them driving the business through 2028 and beyond. But let me start by reminding you the dynamics of our addressable market. We have four very strong structural growth drivers. There continues to be a housing shortage in Germany. It is clear, since per year, €100 million has to be invested to bridge the gap. Second, government climate change targets require a tripling of investments and significant changes to the real-estate stock by 2030. The required investment amount is estimated of €120 billion per year. Demographic changes are bringing additional pressure and requirements. It is estimated that over 30% of the German population will be over 65 by 2050, and I will be part of it. And the market remains highly fragmented 24 million rental units in total, of which only a quarter is in the hand of institutional owners. So we continue to have a significant addressable market, and we are uniquely positioned to benefit from all these trends. Again, I think four factors give us superior positions. First, we are focused proactively on urban areas that have, of course, the greater supply-demand imbalance. We are in the right locations. Our portfolio is significantly ahead on the German average in terms of energy efficiency. We have proven that we know how to decarbonize residential properties. And third, we have unrivaled industry-leading scale in terms of our operations. This puts us in a unique position in a market where scale clearly matters. Our efficient platform has a proven ability to deliver is our very competitive moat. We have built a platform that is very, very hard to replicate. These factors position us generate a long-running recurring and growing income stream. Nothing, which we are presenting today, is revolutionary. It is rather a logic evolution of our business where we either turn our attention to activities that we did not prioritize before because of good reasons or where we broaden our approach by deploying our skill set outside our own balance sheet. Let's go on Page 11. Let's look on the strength of Vonovia's position in the market and in the context of its strategic evolution. What we have historically done is build scale. In doing so, we have achieved synergies lowered our cost of capital and increased our range services. Going forward, we look to continue to increase our wallet share from existing sources as well as expand into third-party markets. We see the next period of the development of our business in two stages. Over the next year, we will focus upon deploying existing capabilities and scale to extract create value. And I also want to share with you our vision beyond 2028, where the emphasis will be on more of the same but deploying higher margins and more resilient earnings through the cycle reinvesting cash flow we generate. In doing so, we can be sure that we will remain mindful of our leverage position and all these initiatives will be undertaken in the interest of maximizing shareholders' value within the boundaries of our financial metrics. And let me make something that very clear. We bought Deutsche Wohnen three years ago. We fully integrated the company operationally, and we realized all the synergies we promised and beyond. That is all good. But right after the acquisition, the interest rate environment changed dramatically, and our focus had to be directed to stabilize our financial position. This is what our investors ask for us and rightly so. That period is over now as described. Now we can really leverage our unique market position dramatically increased relevance in this market. Our unrivaled scale puts us in a singular position and we only now have the opportunity and flexibility to start demonstrating what that means from a more strategic point of view beyond just highlighting operational synergies. Let's look at Page 12 for the value drivers behind our strategic evolution and show the different building blocks that support our business. You see there is more than one building block. Initially, it was rental yield and NAV. The early Vonovia or at that time Deutsche Wohnen, Deutsche Annington, was all about building scale and driving net asset value. Since then, we have continuously optimized this part of the business and we'll continue to do so. This is our foundation. But we also have been adding other building blocks of value creation that have become an integrated part of our business. We have built scale that is almost impossible to replicate, and we have proven that scale matters in our industry. We have built an operating platform which is second to none. We have developed the skills and strengthen of execution for an investment program, which delivers additional rent growth and additional value creation. We have built an additional business outside the rental operation to generate additional income and value creation. And we have recently become by the pressure of the market, more active in asset trading, which will be another valuable building block in the future. All of these building blocks will be expanding to drive higher returns on our invested capital. So far, we have developed our platform largely to our own portfolio. Now it is the right time to start expanding our skill set to what is a very large addressable market. We are always the best are always the best operator, but we have also learned that we not owner. The growing significance of our non-rental activities will move us over time from a property owner and manager to a blended property and service business, leading to what we refer to as second Vonovia. Don't forget, our strong rental business will remain a very robust base, but it is clearly not the only value driver. This is why a purely NAV-based valuation falls short of the current, and especially, medium and long-term value creation that Vonovia can and will deliver. Now we are coming to a complex slide. Page 13. Let me now expand on the actions that we are doing to drive organic growth and our continued evolution. On page 13 and on some subsequent slides, we will provide you guidance on our anticipated performance. There are two points I would like to stress. First, our objectives are not forecasts but indications of what we believe the business could potentially achieve given the strategic actions we have announced. Second, both our guidance and our objective are based upon the assumption that interest rates remain at current level. We are referring in these comments to the anti benefits of our own actions not benefits of macro factors. We are not a business that is dependent on a cyclical market recovery, but on a structural market mega trend. We are now rolling out our growth initiatives to take further advantages of this tailwind. In this context, we have identified three groups of activities to deliver €500 million to €700 million on non-rental EBITDA leading to an estimated total EBITDA of around €3.2 billion to €3.5 billion by 20'28. So about 30% more than our 2024 guidance. All the initiatives we have been developed -- all the initiatives we have developed together with a wide management team. Therefore, it is a broad support across the organization. For every single initiative there is a clear plan of execution as you expect from us and a detailed analysis of the financial impacts. Now let me come to the categories. The first category is return to performance. This where we will be increasing our EBITDA from our well-established non-rental segments back to previous level. This will include greater activity of our customer organization [indiscernible] in the value-add business segment, combined with increased activity and development and recurring sales. We are putting profitability first again in these three non-rental segments and driving earnings like we did before the interest rate change. This time though, it will be on a bigger base because of the larger scale from combination of Vonovia and Deutsche Wohnen. We expect our efforts in this category to deliver around two-thirds of our non-rental EBITDA by 2028. The second category of activities relates to an acceleration of tech-supported investments. Here, we will use innovative technology to advance our investments in modernization of our portfolio. This will involve creates modernization development and innovative and high standardized energy heat pumps and the acceleration of our PV program. All of this will help us to drive value accretion as we bring our investment program to the next level. As we announced, it will be €2 million per year and not only €1 million -- €1 billion per year and not only €1 billion per year. And, of course, the additional €1 billion will generate additional rental cost, above the 4% annual rental growth, which we have announced anyway. And finally, our third category of activity will involve expanded business areas. We are looking to expand into the third-party market and deploy our platform and skill set outside our own balance sheet. This will include levering existing skills to increase the provision of services to third-party and stranded assets and gaining a greater share of wallet, most importantly, through the generation of renewable energy that we will sell to tenants as direct electricity or via high pumps. All these three categories to aim to deliver €500 million to €700 million of non-rental EBITDA by 2028 compared with only €182 million in 2023. To put this plan into context, we show at the bottom of the slide, the indication -- indicative portions of adjusted EBITDA total that the operating divisions are anticipated to represent by 2028. Similar, we are also showing on the right-hand side, how much of this category is expected to contribute to non-rental EBITDA by 2028. And you can see that the majority comes from well-established business that we did not prioritize over the last 2.5 years for good reasons. I would now like to take you through the non-rental growth drivers in a little more detail. We have also included individual slides for all these initiatives in the appendix. All initiatives can be in these pages be reconciled on the basis of a back of an envelope calculation, and we have tried to give you as much flavor as we reasonably can to help you to model it out. We are making transparent what the different drivers for success are and how we think our business will evolve by 2028. Rene will be helpful to guide you through the logic after the call. Obviously, some initiatives in our expanded business areas are based on the B2B relationship, and therefore, binary in terms of execution, you get the customer, or you don't customer. This is why it is difficult to predict the ramp-up curve on the way to 2028, but it also means that there are clear opportunity to exceed our objectives, especially in terms of stranded assets and third-party platform. And be clear, we will not waste any time getting this started, but the B2B nature makes it more difficult to predict the precise trajectory until 2028. That is why we cannot make a specific prediction on how 2026 and 2027 will shape up, our default assumption is that the development will be largely linear. Page 14. Non-rental EBITDA from value add is nothing new. It already contributed 8% of total EBITDA before we decided to cut our investments. So in a way, we are going back to what we used to do, but on a much larger scale and with an addition of new measures. Deepening the value chain by in-sourcing services and installation of PV heat pumps and energy-efficient modernization that would otherwise have to be purchased in the market. This allows for economic of scale, retaining VAT and the entrepreneur margins. Increasing the share of wallet with our tenants. This is especially energy operation that can be built either directly to the tenant or to the tenant via auxilliary costs, for example, the heat pumps. By integrating energy operation into our platform and increasing our range of products from energy provision, so photovoltaic, heat pump, tenant electricity and energy management, we see a long-term potential to provide up to 700-megawatt peak of energy to our tenants and our heat pumps. Currently, we have at close of 120-megawatt peak. This will be in excess of the output of German largest solar plant that recently opened up in Leipzig, generating only 650 million megawatt peak. We aim to increase the investment amount by further €1 million per year by 2028 and expect it to lead to a yield of 6% to 7% in investment plus the FS Craftsman EBITDA margin of 10% of the investment. We are also looking to open our platform and service offer to third party, which would be much more, as I described, a B2B relationship, of course. We see the market potential up to 6 million residential units in Germany, which share the same pain point of finding a provider for transparent, high-quality property management and craftsmen services to main and upgrade the asset. The theoretical market opportunity is vast. If we only capture 1% of the relevant market and if we are able to harvest a management fee broadly in line with the synergy generated in our historic acquisitions, we would realize a sizable double-digit EBITDA million figure and further upside potential from wider wealth management services across the whole value chain. Similar to the value-add recurring sales also used to be a more meaningful contributor to total EBITDA, and now we are going back in that direction, but on a bigger scale. The growing supply-demand imbalance and the regulation has driven the scarcity value of our condominium product. This allows us to crystallize value through the step-up versus fair values and by monetizing the pricing spread between retail and wholesale for condo assets. We expect long-term unit sales in the magnitude of 3,000 to 3,500 units per year and fair value step-ups of 30 to 35 from our existing portfolio. Furthermore, the focus on energy efficiency and associated regulation will mean a significant number of stranded energy assets will come to the market over the next years. You just see a big report today in the in Germany about sustainment. With this, its scale and capabilities in modernization, Vonovia is perfectly positioned to capture this opportunity and crystallize value through realizing significant rental and fair value uplift on these assets. 60% – 16% of the German multifamily home market are on a sub-efficient energy rating. This creates a total addressed market opportunity of around 7 million potential standard assets in need for energy modernization. Of course, the volume and time line cannot be predicted. We are talking again about B2B business here. So it is quite binary, which is the same for acquisition. And when it comes to the respective decision to buy and to sell, we will also need to be mindful of where we think we are in the cycle and mindful of our overall capital structure policy.
.: Vonovia is one of the biggest player in this market without relevant risk to our balance sheet. Our unparalleled scale puts us also here in a unique position in terms of industrialization and standardization, creating a huge advantage along the entire value chain. We aim to increase the profitability of developments by reducing the development cost and levering more innovative and standardized construction methods. We expect the market to continue to recover and the recent introduced tax incentives for private real estate investors will likely serve as a tailwind. We have built an operating platform that allows us to invest around 1 billion per year in development to sell product. And our ambition is that we should be able to achieve a gross margin of around 15% to 20%. In this context, I'm happy to say that we have agreed to secure additional development land from quarter back until the end of this year, which will strengthen our position, especially in the southern part of Germany. And this is back to Phillip.
Philip Grosse: Thanks. Yes, let's now look at the implication of these plans for our capital allocation focus that is on Page 17. We have, as you know, a parallel strategic priorities that is: a, to accelerate the growth in rental and non-rental activities; but b, that by preserving also our financial strength as measured in ratings, covenants and liquidity. Our preference is to allocate capital to a high yield -- to the highest-yielding opportunities, and this will result in organic earnings and value growth given the highly attractive megatrends that we have discussed. We have stated that 50% EBIT plus surplus liquidity will be paid out as a dividend to maintain a progressive dividend policy and share buybacks here will be considered on an opportunistic basis. Very important, we generate sufficient organic free cash flow to fund the equity portion of our investments and to return attractive dividends to our shareholders, and that without jeopardizing, meaning worsening our capital structure. As for M&A, we have an impeccable track record of execution. Opportunities are always considered with a disciplined approach. We will only pursue those opportunities that are value accretive to our shareholders and M&A transaction only makes sense for us if it generates total returns in excess of our cost of capital, and that also on a risk-adjusted basis. Finally, I would like to provide you both our initial guidance for 2025, in the same format as we currently use. And our financial objective for 2028 given the plans we have outlined. Rolf mentioned it before, and I'm happy to reiterate it in our 2025 guidance and also our 2028 objectives, our assumption is that interest rates will stay at their current level. We are not banking on further interest rate declines but rather have made sure that we built a business that is robust enough to deliver attractive risk-adjusted returns and a higher interest rate environment as well. Our ambition is to grow rental EBITDA with a 4% CAGR and hence, very limited leakage out of our top line rent growth. Let me remind you that the full impact of our leverage-driven sales program on the 2025 rental income is €150 million, but we also generated enough cash to avoid €130 million of additional interest costs. And I think the net effect of €20 million on adjusted EBT is a small price, if you will, to pay to leverage -- for leverage control. On the non-EBITDA, the growth is much more dynamic with a CAGR of greater 20% until 2028. And this growth benefits from the scale of investments but it's overall less capital intense. It allows us to extract maximum EBITDA returns from our capital employed plus capital growth as a result of accretive investments. And as you can see, investments will double by 2028. And that, as of course, mentioned, with a cash yield of 6% to 7%, that will contribute rental to growth, but obviously with a certain time delay. For political reasons, no change to the top line growth, but by saying that you can certainly assume that the 4% organic like-for-like rental growth is very much on the conservative side. With these 2028 objectives, we also show an indicative breakdown of EBITDA contribution of the respective divisions comparing these numbers with the corresponding figures for 2023 highlights just how the group is set to change. So a lot for us to go and very excited to work on the challenges ahead of us. And with that back to Rolf for the wrap-up.
Rolf Buch: So this concludes our presentation before we go to Q&A, just let me summarize our key messages. We have successfully navigated through a challenging period and has delivered on our promise to put cash generation and financial see strengths first. The proactive balance sheet stabilization is now over, and it allows us to focus on earning calls again. The actions we have presented today reflect not only an attractive dynamic of our market, but also our confidence in our platform. For our traditional non-rental business, we are aiming to return to the pre-crisis level, but now we are doing it on a 50% larger scale. On top of that, we will increase our investments within the confines of our leverage targets. In doing so, we will exploit our scale and innovative strength to take our investment program to a new level. And finally, we will deploy our skill sets to assets outside of our balance sheet. We have developed what we will call a second Vonovia. Our objective is to deliver at least €500 million to €700 million of non-rental EBITDA and the total EBITDA growth -- for a total EBITDA growth of around 30% by 2028. And thank you for your attention. Sorry for a little bit longer call, and we are now happy to take your questions.
Rene Hoffmann: Mohit, can you open up the Q&A for us, please?
Operator: Yes, sure. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] And the first question comes from Jonathan Kownator from Goldman Sachs. Please go ahead.
Jonathan Kownator: Good afternoon. Thank you for taking my question. First question, I just wanted to reclarify something with you, please. So -- you indicated that you want increase the pace of investment to €2 billion. You highlighted that there was upside on your 4% rental growth by then. But is that included in your guidance of €3.7 billion, €3.8 billion revenue, i.e., the full €2 billion investment if there is actually upside to your organic rent growth guidance. That's the first question, please.
Rolf Buch: So to be very clear, and I think Phillip mentioned it, 4% rental growth was actually not given today, but also given last time, assuming a roughly €1 billion investment. So of course, a mathematic as you understand, very clear is if €2 billion, the rental growth is higher. We have given you in the appendix yield or even in my speech. So it's very easy to calculate that the rental growth will be bigger, but we also have clearly made clear that for political reason, we don't want to want to come up with a higher rental growth guidance, but it is clear that you can put the math together.
Jonathan Kownator: So, if I simplify essentially, the €3.7 billion, €3.8 billion is based on €1 billion in investment and not €2 billion. And then anything that comes on top, perhaps over time, on the €2 billion, the incremental €1 billion is on top of that.
Philip Grosse: Both is correct.
Jonathan Kownator: Okay. All right. Thank you very much. So that's the first question. The second question, I just wanted to go back to capital allocation. I mean, you haven't talked about any equity issue or capital increase on that plan. So just to confirm that this is essentially self-funded plan, i.e., no equity raise. And then I just wanted to understand where are your assumptions then if that's the case, number one, on disposals? And then how do you think of external acquisitions based on that that plan. Is included or would you raise equity to external acquisitions? Thank you.
Philip Grosse: No, as you have assumed this is self-funding. So in other words, we are producing sufficient operating free cash flow post dividend to fund the equity portion of the yielding investments. But it's important. It's the equity portion. So we are not turning our capital structure to the better and that we do yielding investments on the funding side with 100% equity, but we have assumed 60% equity portion, 40% debt portion. On M&A, potential M&A that does not form part of that. It might be always an opportunity based on our very stringent criteria, which we apply. But that would have been funded through potential disposals of noncore assets. We still have a bigger amount north of €2 billion. I think it is in the pipeline or at some stage, if markets recover potentially an equity raise. But that, as we made very clear, any M&A has to be within the boundaries of our capital financial policies and the debt KPIs.
Rolf Buch: And Jonathan, just to add, this is nothing new. You know that we have never guided or had in your guidance any M&A because it's completely unpredictable and there it doesn't makes sense. And I repeat what I have said a few years ago to put you under pressure and M&A will be probably the biggest mistake you can do. So that's why we have never M&A in our guidance. We see that some individual brokers are trying to pressure on potential buyer to accelerate the process and push for a quick offering arguments that Vonovia is going to buy. That's why I think also if you ask for M&A, I think we have make clear again that we know we will never enter into any bidding competition. We don't need to.
Jonathan Kownator: You're referring to ad over here?
Rolf Buch: I'm referring to our general acquisition policy, and we expect more cash from any apartments than anybody else, as you can see in the plan. So it is that if anybody wants to buy a portfolio and will be higher than our price, then obviously, he needs to have lower cost of capital than we have. And of course, as we said, we will continue monitoring all M&A opportunities and we will include the risk and the amounts and the portfolio quality and all this together to form an educated opinion. So this is, in general, our M&A policy, just to make sure that nothing has changed to previous time.
Jonathan Kownator: Okay. So just to reclarify perhaps 1 of the amount of the discussions. On disposals, you talked about noncore that could fund potential new acquisitions. But essentially, should we assume that it's just the recurring sales portion of disposals that is funding the plan that there's no additional disposal plan essentially?
Philip Grosse: The organic growth plan we presented is our recurring ongoing business. So it assumes recurring sales plus development to sell that recycling of inventory, I'm repeating always.
Jonathan Kownator: Okay. Thanks, very clear. Thank you very much for your help.
Operator: And the next question comes from Valerie Jacob from Bernstein. Please go ahead.
Valerie Jacob: Hello. Good afternoon. So I got a first question on your strategy. If I look at the growth in the next short term, I think the last part of the growth in nonrental seems to be driven by restoring your profitability to levels and medium term is dependent on gains from asset portfolio trading, most of them, I think, are cyclical depends on the market. And I know you said you're not betting on interest rate changes, but I think there are other factors influencing market. So, how shall we think about this 1 income and the volatility? Is it fair to say that it's going to be a more volatile part of your business going forward? Any comments on that would be appreciated.
Rolf Buch: So, Valerie, for this for this undeveloped assets or potential standard as a potential standard SOP cost of energy requirement. We see today that the multiplier of these assets are roughly 5 times -- 5 points lower, so 5 multipliers lower than for energetic good options plus you get a rental increase of between 2 and 3 in average, €2.5 per square meter. So, this is a very attractive business. Yes, you are right. if you buy it on the bottom of the cycle and you sell it, you get an additional benefit. So, you should not buy on the top of the cycle and sell in the bottom, there is a cyclical element in it -- but for the next year, I think we are on the safe side.
Valerie Jacob: Okay. Thank you. And my second question is on your strategy with some third-party. As you mentioned at the beginning of the call, a large part of the market is owned by a non-professional. And so I was wondering if the strategy is only targeting businesses or if you're going to target individuals as well?
Rolf Buch: It's business-to-business transaction. And you know before my time in real estate and I was 20 years in the business-to-business business. Of course, it's easier to sign contracts with big partners because then you get a big bunch. So, I think we will focus in the first step on the professional owners, which all has problems. And in a wider sense, of course, we will not refuse to do only smaller -- also smaller parts, which we are doing partly today in our bid business, but the focus is on bigger players. And we know that this is a huge issue for everybody.
Valerie Jacob: Okay. Thank you.
Operator: And the next question comes from Charles Boissier from UBS. Please go ahead.
Charles Boissier: Yes, thank you. Hi. Three questions from my side. First, on the value-add business, which is the biggest portion of the non-rental contribution. So, right now, 85% of it is internal versus 15% external. How do you see that in 2028 -- do you see that also being very significantly internal as opposed to external?
Rolf Buch: No, it will be -- bigger part will be external by definition because as a service business we are doing, we will be external revenue. But of course, in the same time, the energy production and all these things, which belong there will be internal because it's to our own tenants. So, we don't have the split we can probably deliver it in one of the next presentations.
Charles Boissier: Okay, clear. Then in the 2025 guidance, how much of the guidance is for EBITDA of €2.7 billion to €2.8 billion is non-rental? Is there -- I mean, obviously, there is part of it in terms of recurring sales development, which you are already doing, but can you quantify the non-rental portion of this €2.7 billion to €2.8 billion?
Philip Grosse: No specific guidance on that, but assume that the nonrental activities will be a bit higher than they are end of this year.
Charles Boissier: So, would that still be, let's say, because I think you mentioned 20% CAGR, is that a fair assumption for--?
Philip Grosse: It's not a linear approach.
Charles Boissier: Yes, of course.
Rolf Buch: So if you -- all of you, if you want to really model all our initiatives, of course, there is a model behind, we give you in the Annex enough data, so you can individually model it. So you don't have to ask us about percentage. You can actually build it yourself. and Rene's happy to help you.
Charles Boissier: All right. Thank you. And third and last question...
Rene Hoffmann: That will have to be very short one. We need to keep it fair, Charles, with two questions per person. Okay?
Charles Boissier: Yeah. Okay. Okay. Sir, apologize. Yeah. Thank you very much.
Rene Hoffmann: Let's do it after the call.
Charles Boissier: Sure.
Operator: [Operator Instructions] And the next question comes from Thomas Neuhold from Kepler Cheuvreux. Please go ahead.
Thomas Neuhold: Good afternoon. Thank you for the presentation and taking my questions. The first question would be on the development business. Can you give us an overview about the total development potential in terms of units in your current portfolio adding up the different buckets you have recent bank densification and rooftop extensions? And how many units to the €1 billion annual development targets imply.
Rolf Buch: So to be very clear, the overall potential for the company, we have said this morning because is, of course, very much of interest for the rest is 70,000 units. I don't have the breakup with me in which stadium these are. These are ones which as construction permission already and as of it actually still wait of permitting. So this is a wide variety of things and you cannot break it down. The development, as you know, Today, the cost of development per square meter is roughly €5,000 per square meter, we have to get down to something in the magnitude of €3,500 per square meter and then you can calculate how many apartments is if you take 60 square meters per apartment. Of course, keeping in mind that land is -- has different prices in different areas of Germany. I think there you can build your own model.
Thomas Neuhold: Okay, understood. Thanks. And my second question would be on the upcoming Deutsche Wohnen offer. I was just wondering if you can share your thoughts on the potential offer price, are you considering the voluntary offer more than the legally required minimum price in order to potentially drive a higher acceptance ratio and reduce free float? Or you will just stick to the legal required minimum price.
Rolf Buch: Phillip?
Philip Grosse: Thomas, we will certainly not discuss tactics here. The valuation work is currently on its way including a court-appointed appraiser, and we will await the results. We will then discuss it and decide with the invitation to the EGMs, which will take place in January you will see all the details. So that's going to be pre-Christmas. So let's wait for that.
Rolf Buch: But to be very clear and I think this is sometimes on understood, especially in the society, not so much in Europe. We are not doing this to get more shares from Deutsche Wohnen necessarily. We are doing it to get a determination agreement to clean up the structure.
Thomas Neuhold: Okay, understood. Thanks a lot.
Operator: And question comes from Thomas Rothaeusler from Deutsche Bank AG. Please go ahead.
Thomas Rothaeusler: Good morning. Yes, two questions. The first one is on the rental growth guidance. And your indication that there is more on top of the 4% from higher investments, I mean, actually, this means you expect rentable growth momentum to remain unchanged. Is this correct?
Rolf Buch : Yes, this is correct. So please, again, I repeat. So 4% is based -- we have done it last quarter, and we just stick with it is based on the €1 billion investment and of course, if you are now guiding you and saying, by time, we are coming to €1 billion more, and we are giving you an IRR on initial yield of between 6 and 7 you can easily calculate additional rent, which comes on top of the 4% rental growth, which will lead, of course, to a higher number. But as I said, we will not disclose the number -- but it is very easy for you to calculate it.
Thomas Rothaeusler : Okay. The second question is on your new growth drivers and the funding basically. I mean, you have shown the key initiatives and drivers for EBITDA on Page 13, I think. Is it possible to get an allocation of CapEx accordingly, just roughly?
Rolf Buch : Very clear what is roughly more important is the €1 billion more CapEx and investment, all the other growth driver actually with very little CapEx close to none. So if you do a service business, intensive.
Thomas Rothaeusler : Okay. Got it. Thank you.
Operator: And the next question comes from Rob Jones from NBP [ph] London. Please go ahead.
Rob Jones: Yes. Hi. It's Rob Jones from BNP Paribas. So just one question, and that was on the conservatism of your non-rental EBITDA guidance. Obviously, you're saying €500 million to €700 million by 2028. When I do a bit of quick math and rather than taking the top end of your 20% to 25% range, where that is a percentage of the total EBITDA for 2028, let's just take 20%. And also let's just take the bottom end of the adjusted EBITDA guidance 3.2% to 3.5%, 20% of 3.2% is €640 million and the top end the range, if you multiply 25% by 3.5%, you get to almost €900 million. So why is your non-rental EBITDA guidance €500 million to €700 million and not 640 [ph] to 875 [ph]? Like should I think of the €500 million, €700 million too conservative? Or should I think of the adjusted EBITDA number is too optimistic?
Rolf Buch : No. I think what you can see here is that we have a careful CFO, which is taking care that our guidance are not too high. And I think there is some -- if you do the math in the details, you will also feel the clients the same out. But I think this has to be also delivered and keep in mind 2028 is a long period. So if you do the math, you will come up to bigger figures, but I think have some security buffer built in, which I think is appropriate.
Rob Jones: Okay. Fair enough. Yes, consensus of €3.1 billion for 2028 at the moment. So that's fair. Thank you.
Operator: And the next question comes from Bart Gysens from Morgan Stanley. Please go ahead.
Bart Gysens: Yes. Hi. You provide good clarity on the additional investments required for these additional initiatives. But the footnote also shows that -- this does not include development to sell. Now I appreciate that homebuilding is a bit of a self-funding business, but you need often kind of a working capital investment as one-off to get -- to be able kick start that business, right? I appreciate this business has been dormant for you. But given that you give this footnote there, should we expect some investment there to kick start this business again? And how much would that be?
Philip Grosse: The answer is no. We plan to scale up that business on a self-funding basis. And to be very clear, I mean, essentially, we have never stopped investing in new development. We have completed what we have started and what we are now starting is essentially addressing that the pipeline we have started has been built out. But for funding purposes, assume that we will manage our net working capital, our inventories in a way that this should be at least a zero.
Bart Gysens: Okay. And then my other question is on privatization. You have been very successful in privatizing parts of your portfolio. The year you did the most privatization was 2022, when I think you managed to sell nearly 3,000 units on a fair value uplift of almost 40%. And that gave you, as a firm some like €135 million EBITDA. If you walk through the numbers here, it looks like you're targeting an EBITDA number that's actually quite a bit higher. So, how do you think you're going to achieve a meaningfully higher EBITDA in an environment with very different mortgage rates, because back then, they were 1% or so, higher pricing point as well. Are you just going to hire a lot more people to do this for you? Or can we understand a little bit kind of how you think you can get to the significantly higher numbers? Thank you.
Philip Grosse: Yes Bart, there are two elements. I mean first, we are now with the integration of Deutsche Wohnen and also with the integration of the privatization stock of Deutsche Wohnen somewhat bigger company, which is why we are targeting once the market has fully recovered, 3,000 to 3,500 units of privatizations per annum. That is a significant step-up vis-à-vis where we are today. What, however, you also have to include, if you look at recurring sales, that the concept of undeveloped assets that we are initiating, where we put to work our expertise in basically turning the bed quality into the good quality from an energetic perspective and benefit from the quality upside and the pricing upside, which go hand-in-hand with that plus the rental upside that is embedded in recurring sales, because here equally, you deploy some capital but kind of recycling over time that capital in order to extract that additional EBITDA. And that is why you see the higher proportion of recurring sales, EBITDA in that percentage.
Bart Gysens: Sorry, I didn't fully understand that. Would you mind repeating that again?
Rolf Buch: I can explain as a model. So there is a lot of buildings out there, which actually can be bought for very cheap prices today, because they are energetic wise actually potential stranded. So the concept is we are buying them, we are modernizing them, and we are selling them. And the difference between buying and selling will be shown in the recurring sales, because it's the same nature.
Bart Gysens: Okay. That’s clear. Thank you.
Rolf Buch: Just to add, I have given you a wide way of how you calculate it, so five times more multiplier for energetic non-energetic plus €250 increase, which actually will lead you to the numbers. I remind you all that actually these numbers are our figures, but as I said, there is for every initiative, a very detailed business plan and an execution plan. So this is not just putting numbers on the sheet of paper.
Operator: And the next question comes from Paul May from Barclays. Please go ahead.
Paul May: Hi, guys. Thanks for taking my question. Just a couple, on slide 5, apologies, if you could argue it's quite small, but just so I'm reading it right, the €62 million coax network lease income and the value-add, that's the one-off, I assume. And am right that excluding this, your adjusted EBITDA or adjusted EBT, sorry, post minorities would have been down 11% year-on-year. Just wondered if you can a bit more color on what that is? Is it a one-off? And should we sort of exclude that moving forward?
Philip Grosse: On that, I mean, we had to adjust our business model in the multimedia business, because we are no longer allowed to charge multimedia cost through ancillary expenses to the tenants. And what we did is that we entered into a long-term lease agreement with Vodafone, in which we sold essentially access to our tenants at a price and under IFRS rules, that is the finance lease agreement and the discounted value of lease payments, which we will receive over the next 10 years are recorded in 2024, and that is that roughly €60 million plus in revenues, and that feeds through also to essentially the EBT line. And that is something, which will unfortunately not repeat itself in 2025.
Paul May: Thank you. And second one; you mentioned the capital light growth strategy at Q2 2024, but now highlighting a doubling of capital investment by 2028 to drive the increase in the adjusted EBITDA contribution from non-rental business. Just to check, do you need to indefinitely invest that €€2 billion to support the €3.2 billion to €3.5 billion EBITDA as if you were to reduce the €2 billion, would we see a subsequent reduction in adjusted EBITDA? And then also, I think you mentioned that you aren't taking any assumptions on moving or changing financing costs. So I just wonder why you weren't able to give any guidance on adjusted EBT, particularly considering between now and then, your existing debt, I think, is going to go up by about $300 million, $340 million, I think, the additional roughly €1 billion investment is going to cost you another €35-odd million plus you've got incremental investments as well, as you say, it's not fully internally funded. So I just wondered why you didn't give the EBT guidance or post minorities guidance, which is arguably more relevant for equity investors? Thank you.
Philip Grosse: Yeah. I mean, first of all, I think we've been very clear that the additional investments are funded organically by the cash we are producing without jeopardizing the capital structure. I think the notion of capital light business model is less a function of less investments we undertake where you always need to remind yourself next to a cost a yield on cost of 6% to 7% given the quality improvement is delivering an IRR of 10%. I think it should be precisely what you want to see. So it's more than comfortably covering our cost of capital in other words. Now the notion of capital light is that times in which we acquire portfolios, with our current cost of capital is more likely than it used to be. And so the business model we have had when money came for nothing, it's most likely not repeating itself. So that is why we are growing in the non-rental segments. Now you're right in saying that our planning assumption is that we don't assume a significant decrease in interest rates. It's, however, I think, a very different quality if we take that assumption and transform that into a near-term objectives in terms of EBT. I think a reliable objectives cannot include interest rates because naturally, they depend on market developments, which we cannot control and for that very reason, no guidance on EBT medium-term.
Paul May: Just to clarify a bit on that. I think you mentioned earlier that the additional investment would be 60% self-funded debt funded? Is that right? And -- sorry, you're just now saying it's all going to be internally funded there no additional debt?
Philip Grosse: It's funded without jeopardizing the capital structure, and that employs 60% equity, 40% debt.
Paul May: Okay. Perfect. Thank you very much.
Operator: And the next question comes from Andres Toome from Green Street. Please go ahead.
Andres Toome: Hi. Good afternoon. I just wanted to clarify on the third-party business. So you've done a joint venture now with HIH. And from the sound of it, it's sort of a venture where you get property management fees. Just trying to understand how should we think about generally asset management, property management fees versus what you call here third-party services fees. It's the latter basically property management fees in this case, or how does that work?
Rolf Buch: No. I think, of course, there's different forms. If you're doing just property management, this is probably the less interesting part of business. And if you have partners, which actually want to allocate money and you're doing the purchasing. So the acquisition of portfolio, operating the portfolio, modernizing portfolio. And then after period selling the portfolio, this is a full fledge which we call wealth management in our wording is you call completely asset and property management. This is more attractive. We are going more for this than just to do some pure property management services. But we are not excluding to do also property management services. And also keep in mind that deals we have done is higher first step for us in this business. It will be developed further. [indiscernible]
Andres Toome: Okay. That's helpful. And then what would be -- I mean, you haven't given any sort of indication of the fee structures. Can you give a bit more detail on that or maybe just in terms of...
Rolf Buch: Yes, I'm coming back to my business-to-business background. So it is not a good idea to talk about prices in these calls if you are afterwards negotiating with somebody. So even publish prices in the B2B business is nothing which you should do. So if we have done the first deals, we can probably, if this allowed by the partner to explain what is the pricing structure to go before in a call like this -- and published pricing is not the thing. I give you only one indication, which is my orientation. We have bought the second best platform in Germany three years ago, which was Deutsche Wohnen, a very well company. We managed to make synergies by roughly €1,000 per apartment. So why should somebody wear the Deutsche platforms in Deutsche Wohnen not use my platform and leave me with €1,000 or a little bit less. This is a very rough figure based on our public data but I don't want to publish any pricing this year.
Andres Toome: Okay. That’s helpful. And that will be then yes, I guess, as you say, full suite fees, asset management, property management included in that.
Rolf Buch: This will be the [indiscernible] because flat.
Andres Toome: Yes. Exactly. And then my second question, if I still have a second question is on the Slide 28, you have occupancy rights. Can you give a bit more color on what does that exactly entail? And could that actually even be a big part of your business?
Rolf Buch: So the point is this comes back to our old history. You know that company was -- part of our company came from corporates owning their own resi part portfolios for their own employees. And the moment in Germany, because of the imbalance of supply and demand, more and more companies have real problems to recruit people because these people don't find apartments. So the idea, and actually, we are doing it today already is that we provide some of our apartments with the exclusive pride of occupancy to dedicated corporates. So you are signing actually contract saying, if this apartment gets empty, your people have access to this apartment. So the apartment is not going to big market. And for this, you normally get a fee from the corporate because this is their how they make sure that the people find an apartment. So in the end, of course, this only works -- if you have an imbalance of supply and demand because this is actually an additional event but not paid by the tenant for particular project.
Andres Toome: Okay. So there's a fee on top of your longwall rental fee. Got it. Thanks.
Rolf Buch: It takes the regulator rent and you get from the corporate additional fee.
Andres Toome: Understood. Thank you.
Operator: And the next question comes from Marc Mozzi from Bank of America. Please go ahead.
Marc Mozzi: Thank you very much. Good afternoon. Most of my questions have been answered, but I have two last ones. The first one is on your domination agreement between Vonovia and the Deutsche Wohnen. If I understand correctly, is that fair to assume that you can generate 7% any minority shareholders, which remains owners of the Deutsche Wohnen following what the deal you've done with Apollo.
Rolf Buch: No. I don't get your question.
Philip Grosse: Repeat it, Marc.
Marc Mozzi: You're going to provide 70 million of remuneration to Apollo for 1 billion of investment, which I do the math that’s roughly 7%. And then the rule seems to be that you...
Rolf Buch: This is different. So this will, of course, not be the case because there's a big difference because Apollo structure does not allow to liquidate their shares, while the others have a liquid stock, very simple.
Marc Mozzi: What I'm trying to understand is when I read that the Deutsche Wohnen minority shareholders will receive the same payment.
Rolf Buch: It will definitely is not the case. Sorry.
Marc Mozzi: Okay. So if I understand you correctly, Apollo is going to get a 7% return, but minority shareholders are at risk of getting less than that.
Rolf Buch: Yes.
Marc Mozzi: Okay.
Philip Grosse: And look, Mark, details in December when we put out the valuation report.
Marc Mozzi: Yeah. I know, but I'm trying to understand how things are playing out here.
Philip Grosse: Okay. Second question.
Marc Mozzi: My question is on the LTV you're providing. And I appreciate you have your own calculation and your own way of doing so on both on the numerator denominator side. But can you give us an approximation of what would be your EPRA LTV pro forma? Because you're excluding minorities that you're deconsolidating having the Apollo assets on your -- on the gross asset value side. So I think your LTV is slightly distorted from what people would consider to be an economic LTV, which is probably the best way to estimate it is the EPRA LTV. Can we have any guidance on that?
Philip Grosse: We, for various reasons, decided not to follow the proportionate consolidation. So the answer is no guidance on that topic. But you have all the details to make your assumption and the math on the minorities, the stakes and the assets we have sold. So if you want to do it, feel free.
Marc Mozzi: Yes. But it's more and more complex considering the degree of financial engineering that Vonovia is now doing. It's very, very complex from an outside perspective to properly assess what is the economic -- what are the right economic indicators. So that's it. Thank you very much. So that's why EPRA measures or metrics would probably help a lot to clarify exactly where you stand.
Rene Hoffmann: We understood your point, Mark. Thank you very much.
Operator: And the next question comes from Alex Kolsteren from Van Lanschot Kempen. Please go ahead.
Alex Kolsteren: Hi. Good afternoon, team. Thank you for taking the question. Two from my side. The first one is on the stranded assets. Do you currently see already any portfolios on the market? And who will be potential sellers of these kinds of portfolios?
Rolf Buch: Very simple, yes. and potential sellers are people who are realizing that they will have standard vessels by 2030.
Alex Kolsteren: Short and clear answer. Thank you very much. Then secondly, is there any risk of not obtaining sufficient staffing to reach your 2028 targets?
Rolf Buch: Staffing is always a risk, but I think we have it under control.
Alex Kolsteren: Okay. Thank you very clear.
Operator: And the next question comes from Manuel Martin from ODDO BHF. Please go ahead.
Manuel Martin: Hello, gentlemen. Thank you for taking my questions. Question number one, I'm trying to understand a bit better your coming acceleration in the development business. If I understood well, you tried to reduce construction costs, so -- and that will help you to increase your development activity. Is it fair to assume that you're going to apply new construction methods, whatever serial construction? Maybe you can give us some flavor on that? And will that make you more independent from the cycle, if you apply these kind of new construction methods? Or will it be the, let's say, good old-fashioned brick-and-mortar methods? That would be my first question.
Rolf Buch: No, I think it's true -- now we are getting short of time. So probably we have to do it offline. I think you are right that new construction method will reduce prices and will reduce the CO2 footprint of these buildings and will be -- the construction period will be much quicker and probably the quality will be better than before. So yes, we will move in this direction. We just don't want to exclude the traditional one, because this move in direction will take time.
Manuel Martin: Okay. I will clarify that the offline that to go deeper there. Last question from my side on your rental. The 4% growth it looks fine for the time being. And me, myself, I don't see any disruption in that trend. But could you think about a possible scenario where that could decrease because it's not given to be a turn of that growth?
Rolf Buch: No, I think, first of all, you know the systems of how the rent table in Germany is built. So that's why we have a very long predictable for the future outcome of the rent tables. And second, every regulation, I think we will see no regulation in the next 15 months also because the government has just decided no further rental regulation. And I don't see a big risk of further regulation even afterwards because the imbalance of supply and demand makes it necessary to get new apartments and with more regulation, you get less apartments. So yes, nothing there, but it is very long-term predictable just the way of the ratables are built.
Manuel Martin: Okay. Thank you very much.
Operator: And the next question comes from Simon Stippig from Warburg Research. Please go ahead.
Simon Stippig: Hi. Thank you. First one would be in regard to property values. Previously, you mentioned that I'm correct that you see a translation of values of around 3% per annum from your 4% rental growth. Has anything changed there? And do you see any value indication for H2 already?
Philip Grosse: For year-end valuation, we expect kind of flattish development. Thereafter, our expectation is that at some stage, you will see flattish yield expectations of investors in the market. And as you increase your rents, that should have a positive impact on value going forward. But for end of this year, expect flattish development.
Simon Stippig: Okay. Great. And the translation effect would be 4% stable yields, 4% growth would translate to 3% value increase. That at least what you said in the past is that still some assumption I can take forward.
Philip Grosse: I think we've been referring to €3 billion. So if you apply on our rental income, a 4% growth and you capitalize that additional rental growth by our in-place rent multiplier of roughly 25 times today, you come out at €3 billion.
Simon Stippig: Yeah. Okay. And then second one would be, what I missed in your guidance, 2028 is some more guidance around your dividend development. Is it -- can I expect the growth in line maybe with your EBITDA growth development going forward that you stated, which I think is a CAGR of around 6.8%.
Philip Grosse: Look, it's an objective. It's not a guidance. First of all, midterm objectives so that you see there two words we are working in terms of ambition. Second, given that the -- I think for good reason, are giving no EBT guidance as a consequence, we can also not give any kind of dividend guidance. But we have a clear dividend policy -- so here, I refer to your to your modeling skills make own judgment.
Q – Simon Stippig: Thank you very much.
Operator: Ladies and gentlemen, this was the last question and this concludes today's Q&A session. I would now like to turn the conference back over to Rene for any closing remarks.
Rene Hoffmann: All right, Mohit, thank you very much. Thanks, everyone, for dialing in. That's it from us for today. There's always more questions. I realize that. Feel free to offload them with me or the team at any time today or later. We'll be on the road over the next couple of days. We hope to see many of you on that occasion. Our financial calendar is in the back of the presentation is also on the website. And with that, as always, stay safe, happy and healthy, and we'll see you around. Thanks very much.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing Chorus Call, and thank you for participating in the conference. You may now disconnect your lines. Good bye.